Takakazu Uchida: Good afternoon. My name is Takakazu Uchida, CFO. Thank you for joining us today. I will begin by giving a summary of the third quarter operating results and the yearly forecast. I will then hand over to our Global Controller, Tetsuya Shigeta, for details of our operating results. With business and economic recovery beginning to emerge in countries impacted by the COVID-19 pandemic, our operating performance also recovered at a rapid pace during the quarter. There was continued strong performance in areas that supported results. In the previous quarters, such as iron ore business, driven by demand in China and trading business related to the stable supply of lifestyle goods during the pandemic, but also a notable recovery trend in automotive-related business and other areas that are until now being impacted by COVID-19. Please now turn to Page 3, and I will summarize our operating results for the third quarter of the year. Core operating cash flow for the period increased by JPY 21.2 billion year-on-year to JPY 493.4 billion, and profit for the period decreased by JPY 136.2 billion year-on-year to JPY 188.9 billion, reaching the yearly forecast announced in October last year. Of note, core operating cash flow recovered to pre-COVID-19 levels. Recovery of operating results were supported by high prices in the iron ore business, trading operations that contributed to the stable supply to our customers as essential business and FVTPL gains. While there are still causes for concern, including regional disparities in the pace of economic recovery and the renewed spread of COVID-19 around the world, we’re upwardly revising yearly core operating cash flow forecast by JPY 120 billion to JPY 600 billion and yearly profit forecast by JPY 90 billion to JPY 270 billion. The annual dividend forecast remains unchanged at JPY 80 per share. The global economy appears to be a recovery – on a recovery track, led by China, which was relatively quick to halt the spread of COVID-19, although there is some good news, such as the start of vaccinations, renewed spread of the virus brings concern about the potential for a double-dip of the global economy. We’ll continue to pay careful attention to the business environment, and we’ll be managing our company to realize and accelerate each strategy outlined in the Medium-term Management Plan 2023, Transform and Grow, which we announced in May last year in order to build a mid- to long-term competitive advantage. Please turn to Page 4. Here, I will cover the progress in our core business areas outlined in the medium-term business plan, our Mineral & Metal Resources, Energy, Machinery & Infrastructure, and Chemicals. Total operating cash flow from our core businesses in the third quarter was JPY 420.9 billion, and the profit for the period was JPY 171.2 billion, accounting for more than 80% of consolidated group profit for the period. In Mineral & Metal Resources and Energy, core operating cash flow for the period was JPY 307.9 billion, and profit was JPY 103.3 billion – JPY 103.6 billion. Overall progress was steady, supported by a strong iron ore market. The profit for the period was 86% of the previous year forecast despite additional impairment loss related to Moatize coal and Nacala infrastructure projects, an impairment loss due to assumption for lower longer-term oil price. In Machinery & Infrastructure, core operating cash flow for the period was JPY 64.5 billion, and profit for the period was JPY 35.2 billion. Profits were accumulated in Automotive, Construction & Industrial Machinery businesses in the recovery phase from COVID-19, which led to results exceeding the yearly forecast. We’re continuing to work on restructuring and reorganization in the Machinery & Infrastructure area. In Chemicals, core operating cash flow and profit for the period also exceeded the yearly forecast, supported by a recovery in demand, mainly in East Asia and rising market prices for petrochemical products leading to sound performance in industrial and trading business. For an explanation on cash flow allocation results, please turn to Page 5. For the period, core operating cash flow was JPY 495 billion, driven by high iron prices and FVTPL gains. In combination with asset recycling, JPY 95 billion, total cash in for the period was JPY 590 billion. Cash out for the period was JPY 475.0 billion, comprising investments and loans of JPY 365 billion and payout for shareholder returns of JPY 110 billion. Let’s now turn to Page 6 and review the balance sheet at the end of the third quarter. Compared to the end of March 2020, net interest-bearing debt decreased by approximately JPY 60 billion to JPY 3.4 trillion. Shareholder equity increased by approximately JPY 320 billion to JPY 4.1 trillion. And as a result, net DER was 0.83 times. Please look now at Page 7. This page covers the impact of COVID-19 on third quarter results and the yearly outlook. If we look at the first half and the third quarter, although we saw a significant impact from fall in demand and market turmoil in the first half, we practice our company’s materials. But the reality, secure sustainable supply of essential products and enhanced quality of life through essential businesses such as food, agriculture related materials, hospitals, resources and power. In the second half, although we are seeing differences in business sectors and regions, markets are recovering and by making further dynamic use of our capabilities as a sogo shosha, we believe we will be able to improve profits in each business area. In areas where the pandemic has caused a significant change in the business environment, we’ll continue to thoroughly implement damage control. Moreover, we will challenge to search for signs of new business opportunities in parallel with portfolio reconfiguration in order to strengthen our mid- to long-term business competitiveness. Please turn to Page 8, where I will review our progress on the action plan for the fiscal year ending March 2021 that we announced at the start of the period, covering the areas we progressed during the quarter, namely preserve and maintain existing businesses, maintain network of customers and partners, pursue business in line with materiality and create new businesses. We made steady progress implementing projects, including making a final investment decision for the Western Australian gas field and achieving stable operation at the U.S. Cameron LNG Project. We also reorganized U.S. oil and gas business subsidiaries and ICT-related subsidiaries as part of measures to strengthen existing businesses. In trading, which we position as one of our essential businesses, we achieved stable supply in areas such as food and food ingredients, materials, agricultural related materials and power generation fuel and also made progress by aiming to demonstrate our comprehensive capabilities in new ways, as evidenced by our decision to participate in the plastic bottle recycling business. As explained at our first half results presentation and Investor Day, we have been making progress in our portfolio reconfiguration in order to strengthen our business competitiveness centered on Mineral & Metal Resources and Energy. In Mineral & Metal Resources, we made the decision to sell some assets. In E&P, we will shift our strategy to put more priority on the quality of each opportunity rather than to increase reserves, which was our focus in the past. We will continue to pursue ways to optimize our portfolio and to review our existing businesses. Pages 9 to 11 will be explained shortly by our Global Controller. So please turn now to Page 12. As I mentioned earlier, we have upwardly revised our yearly core operating cash flow forecast to JPY 600 billion. This reflects high iron ore price and outcome of efforts to maximizing the contribution from FVTPL portfolio companies by boosting their corporate value. Please turn to Page 13. We are upwardly revising our yearly profit after tax forecast to JPY 270 billion, reflecting factors such as solid contribution to profits from strong iron ore operations, trading businesses and the results of higher corporate value in our FVTPL portfolio. Please now look at Page 14 for an explanation of shareholder returns. The annual dividend forecast is unchanged at JPY 80 per share. During this quarter, our cash generation capability grew and core operating cash flow recovered to pre-COVID-19 levels. Looking ahead, we aim to pursue continued growth in shareholder returns in line with the improvements in operating performance, while aiming to improve capital efficiency. That completes my presentation today. So I will now hand over to our Global Controller, Tetsuya Shigeta for details of third quarter performance.
Tetsuya Shigeta: Thank you. My name is Tetsuya Shigeta, Global Controller, and I will now provide details of our operating results for the third quarter. Please turn to Page 9. First, I will explain the main changes in core operating cash flow by segment compared to the third quarter of the previous fiscal year. Core operating cash flow for the period was JPY 493.4 billion, a year-on-year increase of JPY 21.2 billion. In Mineral & Metal Resources, core operating cash flow increased by JPY 35 billion to JPY 205.2 billion, mainly due to higher sales prices at iron ore operations in Australia and increase in dividends received, even though sales prices declined at coal mining operations in Australia. In Energy, core operating cash flow decreased by JPY 81.4 to JPY 102.7 billion due to a decline in oil and gas prices and the decrease in dividends received relating to LNG projects. In Machinery & Infrastructure, core operating cash flow increased by JPY 4.6 billion to JPY 64.5 billion. Chemicals achieved core cash – core operating cash flow of JPY 48.5 billion, a year-on-year increase of JPY 21.2 billion, which was mainly due to onetime factor at overseas affiliates and good performance in chemicals trading and agricultural related businesses. In Iron & Steel Products, core operating cash flow increased by JPY 0.9 billion to JPY 2.1 billion. In Lifestyle, core operating cash flow was JPY 11.3 billion, a year-on-year increase of JPY 0.6 billion million. Innovation & Corporate development achieved core operating cash flow of JPY 40.1 billion, a year-on-year increase of JPY 41 billion, mainly due to FVTPL profit and strong commodities trading. Other factors such as expenses, interest, taxes, et cetera, which are not allocated to business segments totaled JPY 19 billion. Page 10, please. I will now explain the main changes in profit by segment compared to the third quarter of the previous fiscal year. Profit for the period decreased by JPY 136.2 billion to JPY 198.9 billion. In Mineral & Metal Resources, profits decreased by JPY 59 billion to JPY 76.9 billion due to factors such as impairment losses at Moatize coal and Nacala infrastructure and Caserones copper mine projects, along with a decline in the sales price at coal mining operations in Australia, which exceeded gains from higher sales prices at iron ore operations in Australia and increase in dividends received. In Energy, profit decreased by JPY 69.4 billion to JPY 27.7 billion, due to factors such as a decline in the prices of oil and gas, an impairment loss at Tempa Rossa oilfield project and decrease in LNG dividends despite the recording of deferred tax assets associated with the reorganization of a group of U.S. energy subsidiaries. In Machinery & Infrastructure, profits decreased by JPY 26 billion to JPY 35.2 billion due to impairments at Moatize coal and Nacala infrastructure projects, along with the impairment loss recorded at the rolling stock leasing business. In Chemicals, profits increased by JPY 15.8 billion to JPY 32.4 billion, mainly due to strong trading performance in chemicals and agriculture related businesses, and again from onetime factor at overseas affiliates. In Iron & Steel products, profits decreased by JPY 6.3 billion to negative JPY 2.8 billion, mainly due to a decline in demand for steel products and operation rate associated with decreasing automotive production. In the Lifestyle segment, profits decreased by JPY 18.5 billion to negative JPY 0.4 billion due to the absence of reduction in corporate income tax burden, recorded in the previous fiscal year. And the impact of declining in dining out and purchasing demand at affiliated companies in food retail and fashion. Innovation & Corporate development achieved profit of JPY 37.4 billion, a year-on-year increase of JPY 31.4 billion, mainly due to FVTPL gains and strong commodity trading. Page 11. Here, we look at the factors influencing year-on-year changes in third quarter profit. Base profit increased by approximately JPY 9 billion due to iron ore dividends and FVTPL recovery, despite decreases in LNG dividends. Looking at resource-related cost volume as a result of cost reduction efforts in each product in energy, profit increased by approximately JPY 6 billion. But on the other side, production declined at the MOECO/Thai offshore field led to a volume-related profit decline of approximately JPY 14 billion. Asset recycling resulted in decline approximately of JPY 21 billion. Due to the absence of a reduced corporate tax burden included in the same period of the previous fiscal year, despite a gain on sales of power generation businesses in North America. In commodity prices/ForEx, a decline in the prices of oil and gas and coal were the main factors behind decline in profit of approximately JPY 41 billion and JPY 21 billion, respectively. Higher iron ore prices contributed to a profit increase of approximately JPY 20 billion. In ForEx, Australian dollar appreciation against the U.S. dollar resulted in decline in profit of approximately JPY 16 billion. Finally, valuation gain/loss and special factors were reasons behind a decline of approximately JPY 54 billion due to an impairment loss at the Moatize coal and Nacala infrastructure projects as recorded in the first half of the current fiscal year. The financial results for the period highlighted recovery in general for each business segment. As a result, it is difficult to clearly distinguish between recovery from COVID-19’s adverse effect on profit and profit improvement by our own efforts. Therefore, we are not disclosing the COVID-19 impact related to non-resources business areas. Page 12. I will now explain the factors by segment in the yearly forecast described earlier by Mr. Uchida. The core operating cash flow yearly forecast have been revised upward to JPY 600 billion. In Mineral & Metal Resources, the strengthening trend in the prices of iron ore and higher dividends were the main factors in an upward revision of JPY 55 billion. In Energy, a positive trend in oil and gas prices and less hurricane impact contributed to an upward revision of JPY 10 billion. In Chemicals & Lifestyle strong trading performance, it’s reflected increases of JPY 20 billion and JPY 10 billion, respectively, while in Innovation & Corporate development, FVTPL gains as strong commodities trading contributed to an upward revision of JPY 10 billion.  Page 13. The profit after tax yearly forecast have been upwardly revised to JPY 270 billion. In Mineral & Metal Resources, favorable iron ore price trend and higher dividends contributed to an upward revision of JPY 35 billion. In Energy, a positive trend in oil and gas prices and less hurricane impact are the main factors contributing to an increase of JPY 20 billion. In Chemicals, favorable markets and strong trading performance contributed to an increase of JPY 15 billion. And in Lifestyle business, strong trading performance and the recovery in hospital business contributed to an increase of JPY 10 billion. That concludes my presentation. Thank you.
A - Unidentified Company Representative: Now we’d like to go into a Q&A session. Thank you for the presentation. There are two questions. First, the cash upside status and the thought behind that, core operating cash flow JPY 400 billion was estimated at the beginning of the period, but now we’re talking about JPY 600 billion. So there’s upside of JPY 200 billion in cash. So if you take a look at Page 5 of the presentation, in the three-year period, the medium-term business plan, JPY 200 billion cash upside is in sight. But in the asset recycling, there’s not much progress made. So if you look at the total cash inflow. Because of the downside of asset recycling potential, you cannot see the upside in cash. Is that what I should understand? Or the additional shareholder returns is something we can expect. Is that correct? Can you talk about cash upside which is associated with the shareholder return? That’s my first question. And second question. In the portfolio review, in the third quarter, Tempa Rossa oil price revision – downward revision and Moatize is making progress in the next quarter. So the – after the forecast revision in the segmental outlook, I think there is different pieces of information embedded. So the negative factors of portfolio review how – in what segment, to what magnitude are they reflected? Can you talk more about that? Thank you for the questions. For both questions, CFO, Uchida will answer them.
Takakazu Uchida: Thank you for the questions. For the cash flow, core operating cash flow compared to JPY 400 billion at the beginning of the period, we’re not talking about JPY 600 billion. So there’s a recovery more than expected compared to JPY 400 billion, including the allocation, including the shareholder return, in the previous business – medium-term business plan period, excluding trading, JPY 560 billion. Or in the previous three years, it was once close to JPY 660 billion. so now recovering to that level. But in the third quarter onward, iron ore prices have been plateaued, and that was one of the factors contributing. However, there’s a stronger recovery than expected and there is a room for shareholder return or more management allocation because of this recovery. So looking at the outlook, how we end in the fourth quarter, we will continue to consider, including today, as we speak, we will continue to consider that possibility. So that’s how we position that shareholder return. And cash inflow and the cash outflow was mentioned. It is true that if you look at the three-year period, this is the estimate that was made before the pandemic and cash inflow and outflow is shown on a gross basis. And for both values, progress in process and review and recycling, there’s some upside factors or other downside factors involved, but cash inflow is not making progress. We’re not looking at the total picture because of that cash inflow not making progress. But the new strategic focus area investments progress is what we are also looking at and looking at the new investment areas. And the shareholder return, we have to hit the right balance. And so we shouldn’t put priority to shareholder return. Of course, we can’t keep postponing the shareholder return forever, but we have to look at progress in both areas and then make decisions. And to answer your second question, portfolio review at the interim report, the Medium-term Management Plan has not been able to reflect the impact of COVID-19 fully. So at the interim report level, we have – we will have coordinated and consulted with the business units. And there is no change from the medium-term business plan. But there’s damage control that is required in more depth, and we have made a review. And one remarkable impact is Moatize and Nacala. And after third quarter onward, it’s not just for us, but there’s negotiation with – and discussion with Vale involved. And at the end, as we have lifted the policy that was announced at the end of January. And as for E&P businesses, it’s not necessarily the impact of COVID-19, but price decline and also decarbonization were considered to relook at the prices that we have conventionally taken. So the organization and the structure has been reviewed or it’s now ongoing still. So in that context, as we said at the interim report, so in Mobility, in the passenger transport business overseas, we’re still in the process of negotiation and damage control in the field. And in the portfolio review, it’s not just the headquarters, but – and desperate review. But rather in the field, the restructuring, the cost reduction initiatives and required negotiations are underway. And as I may have said at the interim report, the time access is so different from business to business. So we cannot disclose everything at once. But for the moment, there are still negotiations that are underway. But for major parts, we think we have reflected most of the review in the third quarter. Does that answer your question?
Unidentified Analyst: As for the passenger transport or railway, a certain level of amount has been already reflected in the third quarter. Is that correct?
Takakazu Uchida: Well, there’s still a large amount of uncertainty for the future. But as you look at this, Machinery & Infrastructure area, JPY 35 billion is the outlook. Up to third quarter, we have come up with JPY 35 billion. And that JPY 35 billion was the result of the third quarter. So it’s not just a simple addition and subtraction, but based on those factors, we have come up with JPY 35 billion.
Unidentified Analyst: I would like to ask two questions, please. The first question, in the first half, our losses were recorded in steel products and also Lifestyle segments, but they showed recovery in the third quarter and you explained health care and automobiles are doing well. Is this because of the inherent strength. Of course, COVID-19 is showing resurgence and maybe they are onetime factors related. But can you talk about the continuity of the business going forward? That is my first question. And the second question is also on the shareholder returns policy. I’d like to confirm your shareholder returns policy. I can see annual core operating cash flow, 1/3 is given to shareholder returns. That is my understanding of your policy. But if you could please turn to Page 14 of the material, you talk about the returns policy, you talk about the dividend. And last year, in March, you talked about share buyback, the JPY 40 billion is included. And even with JPY 600 billion, are you trying to explain that there will be no additional returns going forward? Is that the right understanding? So how will this JPY 40 billion be dealt with?
Unidentified Company Representative: Thank you very much for your question. Uchida will answer both questions.
Takakazu Uchida: Thank you very much. As for the first question, when it comes to Iron & Steel Products, and also Chemicals, they are material-related businesses. And after the midterm monitoring, because of automobile production and also manufacturing showing recovery, we believe that these segments have showed very strong performance, especially Chemicals were strong. When it comes to Iron & Steel Products, the main Gestamp business, there were large amounts of restructuring costs recorded. And if we look at the recovery, because of this restructuring cost, the recovery was quite slow. However, in the third quarter, because of increases and recovery in the production, we believe that it is doing well. And when it comes to Lifestyle segments, in food and distribution and IHH, we believe that we are showing profit in the third quarter. Of course, the impact is still there. However, we believe that it is doing very well. So whether there are inherent strength in those businesses, there was a large gap between the demand and supply. But from the middle of the second quarter to the third quarter, we are seeing increased demand. And therefore, we believe that we can look at volume and also margin, which is shown to be higher. Whether we’ll be able to maintain this high margin, we did see from the tailwind currently, but whether that can be maintained is something that we need to keep a close eye on going forward. And when it comes to shareholder returns, yes, we did make announcement in the March 20. And the total return on a cash-out basis, as you can see here, are the numbers and in the second half, if we include the dividends, as you can see here, it will be in the scale of JPY 175 billion, that will be the total returns that we can aim for. And as for the revised forecast of JPY 600 billion, we do not make adjustments by the quarter or by the year. I think we look at it in a 3-year period for the allocation. And there may be some timing delay when it comes to investments, therefore, it will not fall within the quarter or for the year. I think we need to think of it in a range of 3-year period. For the March year 2021, we are looking for total shareholder returns as a percentage of core operating cash flow of 29%. And if we look at the average for the past three years for the previous MT E&P, it was around 28%. Of course, we we’ll be conscious of this figure going forward. And in the shareholder returns policy of the MT E&P, we will be implementing the growth strategies and aim for gradual increases in the returns. There are no major changes in your policy.
Unidentified Analyst: May I make a comment, please. So in the interim report, during the explanation given, even with the upward trend of the cash flow, there were no proactive comments coming out. Therefore, the stock market responded, and the share price did not go up. And today, you gave us an upward revision, but the share prices are not going up. I believe that is a pure response from the stock market. So looking at the track record of your investments from the past, they are not leading to profit, but there are a number of impairments announced. So after making investment, whether that will be shared to the shareholders is something that we cannot really have a trust on. So reliability has been reduced on that sense. So market is looking at it very negatively. And I think that should be taken into consideration. That is my personal opinion.
Unidentified Company Representative: Yes, I hear and thank you very much for your opinion. It is not actually if we have decided not to do anything. We will be responding with agility going forward. And for long- term investors, we hope that we will be able to work on it positively. Of course, we are looking at the short-term variations in the stock market, but moreover, we’ll be focusing on the mid- to long-term improvement of our corporate value. And with that, we will be planning and implementing the shareholder returns going forward.
Unidentified Analyst: I have two questions. First is about upward revision this time. The onetime factors, there are so many, so it’s very difficult to see. So can you explain the upward revision by sector? Especially iron ore is strong, but there is a lot of impairment losses in the segment. And also the Chemicals that you explained and Lifestyle, even though there is a recovery, what is the amount of recovery that you’re seeing exactly? That’s the first question. And secondly, your credit rating, Moody’s in April last year has made a downward vision to negative for your company. And you have made impairment losses, but there’s upward revision for the forecast. So should we understand that there is no problem and concern about the credit rating by the credit agency. Is that correct?
Unidentified Company Representative: Thank you for the questions. So there are two questions asked and Uchida will answer both of them. 
Takakazu Uchida: First as for onetime factors. In the third quarter, the major ones that we’ve posted are Moatize, Nacala additional impairment losses. And then Tempa Rossa impairment loss and U.S. energy subsidiaries reorganization, DTA, JPY 39 billion. And MNC, JPY 4.2 billion. So in – so on the net basis, it’s about negative JPY 40 billion. And as for Metal & Mineral Resources, as for Moatize and Nacala, in the machinery infrastructure share – paying for some of the losses. And in the Steel, product prices has been seeing some pause so is expecting some prices to settle down, but the iron ore prices has been surging more than expected. And in the fourth quarter, Vale dividend is expected, and that has been incorporated, and that will be pushing up the profit, but the number is undisclosed. So that will offset impairment loss. So JPY 35 billion upward revision has been made for that sector. And also energy, the Tempa Rossa impairment loss, it’s not that something happened in Tempa Rossa, but the long-term oil price because of the review of the E& P strategy has been reviewed. And more recently, the prices have been going up. So the range of $50 to $70 has been used as assumption and evaluate the assets and Tempa Rossa has been picked up in the impairment losses. And also a structural – in the terms of structure, there are restructuring that is underway. And as a result, because of reorganization in the U.S., DTA has been recorded for JPY 39 billion. So crude oil prices are fairly strong but the prices are not going up that much. And also on an annual basis, in the summer, there was a huge impact by Hurricane onetime, and Cameron project was halted once, and we had expected for the impact to be prolonged. But rather, actually, it ended up being mild in impact. So in total, there is JPY 20 billion in upward revision. As for Machinery & Infrastructure, there is some uncertainty, so JPY 35 billion is unchanged. And as for Chemicals market, the methanol market prices in the third quarter has been impacted. And trading has been strong, so JPY 15 billion upward revision has been made. And nutritional and agricultural related ones, Novus remains in restructuring, so some of the businesses were divested. And some restructuring costs have been postponed. So there will be a time delay in terms of posting. So there’s going to be a positive factor. And agricultural related materials and fertilizer, there was less impact than expected by the COVID-19. So JPY 15 billion upward revision. As for Iron & Steel products, in terms of materials, especially automotive-related ones. There’s slight recovery, but based on restructuring costs has been posted, also onetime factor, so JPY 1 billion. And then Lifestyle, the IHH negative impact has been offset more than expected, so there has been turnaround. And as for Innovation & Corporate Development, the commodity trading is strong and FVTPL has been improving, so JPY 1 billion revision has been made. So that’s how we segmented the upward revision.
Unidentified Analyst: One additional follow-up question. JPY 270 billion in profit for the year, its the guidance. So what will be the onetime factor?
Takakazu Uchida: In the second quarter, there was a huge impact from COVID-19, and there was also business environment changes. And as I have been saying, the major projects and many other projects. And in each of the projects, as I mentioned, rather than deciding on a destock basis, you look at the business environment and the results of negotiations. And we’ve been changing as we go along. So we are looking at the range of impact. And JPY 180 billion remained unchanged at the interim reported timing. And we’ve been recording some onetime factors. And that depends on the timing of negotiations. So whether it will be reflected in third quarter or fourth quarter, we – it is out of our control sometimes. And so it was the case in the interim report, but this time, it’s also difficult for us. And as for Moody’s credit rating, an annual review with credit agencies has been done on a regular basis. And we’ve done that with Moody’s as well. And our progress has been communicated, and there was no challenge from them.
Unidentified Company Representative: So a negative outlook at the beginning of last year was given because of the disruption in the market and our credit rating was reduced to negative. But we’re hoping that it will be recovered back to neutral as soon as possible. But at least, there’s no new negative factors. Does that answer your question?
Unidentified Analyst: Yes. Thank you. I would like to ask two questions, please. The first question, I would like to ask a question on cash flow. This is a confirmation question. On Page five. This is what was announced in May, and you have talked about the progress as well. Core operating cash flow is on the upside. And of course, there was an upward revision announced as well. After May of last year, it’s been more than six months. Do you feel that there is anticipation or, when it comes to additional returns if the decisions are not made. Please let us know of your decision so that we can have our expectations for the future. Actually give more explanation, our concerns rise accordingly. That is how we feel listening to explanation. And because you need to rationalize that you’ve not announced any additional shareholder returns, and that is leading to concerns, whether investments and loans are going to increase going forward, or asset recycling is not progressing. There may be other factors involved, but not only relying on the recovery of the iron ore prices, there are many businesses that are doing well. But if you have any concerns for the future that leads to no decisions to be made on additional shareholder returns, please explain? That is my first question. And the second question, you talk about steel products, iron products. And when it comes to IHH, in the third quarter, I believe the situation has changed. With steel products, you may have more inventory with Gestamp, the restructuring is very easy to understand. But what is the situation with IHH? What are the changes that you’re seeing? And do you think they will continue into the future?
Unidentified Company Representative: Thank you very much for your question. Uchida will answer your questions.
Takakazu Uchida: Yes. As for your first question, there are no plans for the future. And I don’t really understand why you’re so concerned or anxious. We are going to make a stable allocation going forward. And before COVID-19, I think we are going back to the level before COVID. However, with the cash flow, when it comes to Chemicals and iron ore and steel products, I think they are making good contributions. So in the second and third year of the MT E&P, as we move away from COVID-19 impact, we are not just going to aim for recovery, but to exceed the previous level. That is something that we are going to aim for. It is not as if we have any hidden factors or we have changed our stances. If we are causing you concern, I’m sorry. I hope we’ll be able to take away your concerns. And when it comes to IHH, people working in the field had to focus on COVID-19 factors, and the operation may have gone down. However, they are now being very creative and they have now better research allocation to deal with COVID-196. And medical tourism is showing some recovery. Therefore, we believe that IHH business, we were able to respond at an early stage to see the recovery that we are seeing at the moment. I hope that answers your question.
Unidentified Analyst: There are two questions. First question, as you said, the 3-year cash flow plan is something that is related. The 3-year cash flow, when you put this together first, the iron ore price estimate back then and the outlook now would be totally different. And in this environment, for the 3-year period, estimate has been increased significantly. So what are the factors? And in the second and third year, what will be the impact that you can foresee? If you can just give us your gut feeling, that will be appreciated. And secondly, the asset portfolio reconfiguration reshuffling. The Moatize and Caserones, are going to be divested. So what is the background for that? And future coal and copper portfolio, what is your thinking behind those? That is my second question.
Unidentified Company Representative: Thank you for the questions. Uchida will answer both of them.
Takakazu Uchida: As for iron ore, in the Medium-term Management Plan, when we put the outlook together, the iron ore price assumption has not been disclosed. I’m sorry for that, but back then in March last year or it was February, March, April last year, when you look at the market prices, in our estimate, based on the supply demand situation, in the Medium-term Management Plan period, iron ore prices will probably gradually decrease. That was what we estimated in the assumption when we put this together first. So compared to that, as you said, more recently, in – or the situation in the third quarter onward, the total picture has changed significantly. So there is such significant impact that we’re seeing. And as for second and third year, to what extent we would – what sort of estimate we would have would be reviewed and incorporated in putting together second- and third-year plan. And the one that we disclosed in May, when we go to the next Medium-term Management Plan will be reviewed once again. But from the third quarter, there’s an overheated price increase for iron ore. So – but there could be some settle down in the price levels. And as for coal portfolio, at the moment, the thermal – we are going to withdraw from thermal coal only business, but that’s not the only reason but Moatize Nacala. Ultimately, the thermal coal is increasing in ratio. And also, there are several operational factors, and we had the comprehensive review and Vale has decided to restore from the business. So we’ve also decided to withdraw from the business. But as for the thermal coal. There’s not going to be any new investments made. So ESG and in other areas, there’s discussion on this, but the – there will be some technological innovation, and there be research on new technologies on reduction. And in the R&D stage, although, the scale is not that large, we’re working together. But as for coking coal, still there is a demand for that. That’s how we position that. So we would like to make progress. As for copper, Caserones business is what we are withdrawing from. But our mainstay, Collahuasi and Anglo Sur, those would be the two main pillars. So far, the resources have been invested in Caserones to a large extent, but those will be reallocated to those two on a confronted basis. So we will continue to work on copper business. Does that answer your question?
Unidentified Analyst: Listening to explanation you talked about Mozambique, and this is a related question. Basically, there is ESG perspective, led to the divestment from the coal business on Vale site. When it comes to Mozambique, what about the country risk? Was it very difficult to conduct a business in Mozambique. That may be a background factor. And recently, LNG Area one there were some variance reported, and there were evacuations necessary related to those incidents. Therefore, when it comes to core business in the pipeline businesses, the rigs may need to be reviewed once again, depending on the region. So can I have your perspective, please? When it comes to the pipeline businesses, in the core businesses that were planned, there are many impairments recorded. And of course, there was a question previously. But when it comes to the capital allocation as a whole, will the wait be reviewed going forward. That may be necessary. Can you talk about that as well, please?
Unidentified Company Representative: Thank you very much for your question. Uchida will answer your question 
Takakazu Uchida: First of all, about Mozambique, Moatize and Nacala operations. Originally, in the emerging countries, conducting business is difficult. And that is not only for Mozambique, but we have many experiences of such nature. But as we have indicated, Area one is something different, but we need to overcome the challenges and be creative to be able to do business. But when it comes to the volume that has been ramped up, we took in many measures. But there were some difficulties when it comes to procurement of materials. And of course, there was COVID-19 impact as well. And there were some difficulty in Sur. However, I think that is one factor of the difficulties of such type of projects. But in emerging countries, for each of the projects, there are certain difficulties attached. And we need to take in mitigation measures so that we’ll be able to adopt. And there will be not much of a change in your approach going forward. And when it comes to new investments, there are several, including Caserones. And in the three to five years, we withdrew from multigrain business as well. So these were major withdrawal decisions that we have made. But other than that, we see many projects that are doing well when it comes to operations. Therefore, as for Mozambique, for Moatize and Nacala, this is just a heads of agreement with Vale. Negotiations with Vale and stakeholders will start. So we cannot talk about the specific backgrounds or what led to this agreement, but we are going to take the benefit from our past experiences, and we will continue to be challenging in other areas going forward. And of course, returns of investments, getting investment profits or gains is something that we will aim for. And we have worked on improving the quality of the existing businesses, which is showing results. But in the MT E&P, there are strategic focuses that we’ll be working on, and they are going to be the foundation for building growth areas and growth projects going forward and our policy remain the same. Does that answer your question?
Unidentified Analyst: Yes. Thank you. 
Unidentified Company Representative: Thank you very much. With that, we’d like to close our Q&A session.